Operator: Ladies and gentlemen, good morning, and welcome to the Chatham Lodging Trust Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Chris Daly, President of DG Public Relations.
Chris Daly: Thank you, Ryan. Good morning, everyone, and welcome to the Chatham Lodging Trust Second Quarter 2025 Results Conference Call. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our most recent Form 10-K and other SEC filings. All information in this call is as of August 6, 2025, unless otherwise noted, and the company undertakes no obligation to update any forward-looking statement to conform the statement to actual results or changes in the company's expectations. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call on our website at chathamlodgingtrust.com. Now to provide you with some insight in Chatham's 2025 second quarter results, allow me to introduce Jeff Fisher, Chairman, President and Chief Executive Officer; Dennis Craven, Executive Vice President and Chief Operating Officer; and Jeremy Wegner, Senior Vice President and Chief Financial Officer. Let me turn the session over to Jeff Fisher. Jeff?
Jeffrey H. Fisher: Thanks, Chris. Good morning, everyone. I certainly appreciate everybody being on our call today. Before I comment on our second quarter, I want to update some of our key corporate initiatives. We completed the sale of all 5 hotels we listed in the fourth quarter and are very happy with the results. We sold 5 hotels, as a reminder, with an average age of 25 years at an approximate 6% capitalization rate on 2024 NOI levels for proceeds of $83 million. Each of these 5 hotels were among the 6 lowest RevPAR hotels in our portfolio at cap rates lower than our cost of debt and are value enhancing. We currently have 2 additional hotels listed for sale. And of course, it's too early in the process to comment on the specifics of each transaction, but these would be further opportunistic sales. We intend to use the proceeds from the 5 asset sales as well as those currently listed if we sell them to fund our Home2 Portland development, acquire hotels and repurchase shares of our stock, and we look forward to being opportunistic on all those accounts to continue to add shareholder value where we can. Our Board of Trustees approved a $25 million share buyback plan in May. And during the quarter, we repurchased approximately 20,000 shares at a weighted average price of $7.02. We intend to be a bit more active in the third quarter given current share price levels. And our balance sheet continues to get stronger as we've reduced our leverage to now only 21% and are projected to create almost $20 million of free cash flow in 2025 after dividends. We positioned ourselves to add value in multiple ways. During the third quarter, we intend to launch an upsized and recast syndication of our credit facility and term loan further enhancing our financial condition and lowering overall borrowing costs. We're hopeful that process is complete by the time we speak again in November. Operationally, we're pretty pleased with the results of our second quarter, delivering RevPAR and FFO per share at the top of our guidance range. Second quarter occupancy of 82% matched last year's second quarter occupancy and is a post-pandemic high. Additionally, we hit an all-time high in ADR and RevPAR in May. We grew our operating margins this year. And yes, we did benefit from nonrecurring refunds. But even excluding those onetime impacts, margins would have declined less than 1%, not bad considering the RevPAR results for the quarter. I believe our Island operating team will do even better in the third and fourth quarters in that regard. After a challenging start to the quarter when April RevPAR was down 4%, we grew RevPAR in May and June to essentially finish with flat RevPAR for the quarter. Our core business segment, business traveler remains healthy and growing as we are seeing our highest occupancies during the week. When comparing us to our peers, I want to reiterate that we've beaten industry RevPAR growth for now 14 consecutive quarters or 3.5 years. Our largest market, Silicon Valley, continued its recovery to pre-pandemic levels, and it was good to see our occupancy at all 4 hotels reach 80% in the quarter, which is an important hurdle. The amount of investments being committed by tech companies, combined with the Applied Materials expansion and the [ NVIDIA ] Innovation Center will certainly help facilitate additional demand growth in the valley, and those demand generators are around the corner from our 2 large hotels in Sunnyvale. Another good sign of the underlying momentum in Silicon Valley is that multifamily rental growth rates are accelerating. For example, in their recent quarterly report, Essex Property Trust pointed out that their highest growth rates are in the Northern California regions. Our press release included details on our largest market performance, and Dennis will expand further on those, but I want to highlight some interesting tidbits from other markets. Our Sun Belt markets are performing well with our 2 Charleston hotels showing strong growth. And encouragingly, our 2 Florida hotels experiencing RevPAR growth in the quarter after being down last year and in the first quarter this year. Texas, as a reminder, 3 of our 5 hotels are being adversely impacted due to the closure of their cities, respective convention centers or expansion and that being specifically Downtown Dallas and Austin. RevPAR in the entire Austin market is down 6% year-to-date and down 14% in the quarter, with the only good news being the domain market is less bad than that at down 5% in the quarter and 11% year-to-date. In Seattle, the entire market, including Bellevue is soft and feeling the effects of reduced Canadian travel with RevPAR down 2% year-to-date and 4% in the second quarter. The automobile border crossings in the region were down 47% in the second quarter. And lastly, driven by some great events, our second quarter in Pittsburgh was huge with growth of 23% and a second quarter RevPAR of $161 was its highest second quarter in history. Second quarter events -- special events included its first Motocross Championship in April, 3 concerts and the Monster Jam in May and then the U.S. Open in June. Next year, during the second quarter, we have the NFL draft right outside our front door, which should be great for the hotel. As we look forward ahead to the balance of the year, we are essentially leaving our guidance unchanged. Growing business travel demand across a good portion of our portfolio is encouraging. Yet offsetting that is weakness in the convention demand in Austin, Dallas and San Diego, which had an all-time best year in 2024. Leisure demand has held up well for us, yet the decline in travel from Canada and Europe is certainly impacting the industry overall. For us, government travel rebounded post Liberation Day after our 3 D.C. hotels saw RevPAR decline 9% in April. RevPAR was up approximately 2% for the balance of that quarter. As an industry, I believe we're poised for some better performance in the coming years. Supply, demand, that's the key here. And of course, we all know that new supply should continue to be muted for some time as we look forward. It's expensive to build, and it's my belief that development only makes sense in some very special markets in the U.S. Looking past 2025, current GDP growth rates are encouraging, and the outlook is even more so given the massive investments being made by companies across the U.S., including the substantial commitments made to the technology advancements and all things, AI. Adding to this is all the announced foreign investment coming in the U.S. in the coming years. Historically speaking, we all know there's a strong correlation between GDP growth and RevPAR growth. Operationally, as a reminder, we've got great internal growth potential with the recovery -- continued recovery of the Silicon Valley hotels. There's quite a bit happening in the market, not only with the largest companies in the world that are based there and the future continues to look bright. Silicon Valley once again took over the #1 ranking for start-ups and as the global epicenter of innovation with abundant capital and continuously creating groundbreaking technologies. In conclusion, I'm excited about our prospects going forward. We've executed on most all strategic fronts and sit in a great position to grow and add value with a very strong balance sheet. With that, I'd like to turn it over to Dennis.
Dennis M. Craven: Thanks, Jeff. Good morning, everyone. Some additional RevPAR color. RevPAR growth at our 4 Silicon Valley hotels like Jeff said, was up 3%, and we are able to grow hotel EBITDA an additional 3% to almost $5 million. Our Silicon Valley hotels were really no different than our portfolio and that April was quite soft due to the consecutive Easter and Passover holidays, along with the initial reactions from Liberation Day. Within the quarter, RevPAR at our 4 Silicon Valley hotels was down 2% in April, then up 3% in May and a strong 6% in June. At our Home2 in Phoenix, as a reminder, it opened in early 2024. We acquired the hotel in late May of 2024, and RevPAR was up over 60% in the quarter. As we enter the fall, we are encouraged with our sales efforts there, especially related to the convention center and other group-related business that often has to be targeted at least a year in advance. L.A. RevPAR was up 1% in the quarter as demand related to the California wildfires pretty much left the market and especially our Woodland Hills Hotel, where we had a significant amount of business there in the quarter. Within our L.A. market, our 3 hotels, our Residence Inn Anaheim was up 6% and our Marina del Rey Hilton Garden Inn was up 3% with our Home2 Woodland Hills down 5%. Our 6 predominantly leisure hotels account for about 20% of our EBITDA and they had a great quarter with RevPAR surging 4% when you exclude our Portsmouth Hilton Garden Inn that was under renovation into the quarter. Our top 5 RevPAR hotels in the quarter were our Residence Inn Washington, D.C. with RevPAR of $239, followed by our Gaslamp Residence Inn and both of those RevPARs were the highest second quarter RevPARs in each of their respective histories. Rounding out our top 5 were our Hilton Garden Inn, Marina del Rey, our Residence Inn White Plains, New York and our Hampton Portland, all 3 with RevPAR over $200 in the quarter. On the operations front, for the third consecutive quarter, we drove our gross operating profit margins higher, 30 basis points above last year's levels. Although we benefited from about $800,000 workers' compensation-related refund, it was really attributable to very good claims experiences and kudos to our operating team for minimizing those costs. As we all know, labor and benefits are by far our largest expense and on a per occupied room basis, these costs were down 7%. But when you take out the impact of that refund labor and benefits, we're still down year-over-year on a per occupied room basis. We continue to allocate meaningful energy closely monitoring our productivity at that level. Most other operating line items were relatively stable year-over-year, though guest acquisition-related commission costs were up approximately 15% has increased -- our exposure has increased really due to just different channels of booking business in the quarter. That increase impacted margins by approximately 30 basis points in the quarter. We had 17 hotels produce over $1 million of GOP in the quarter. And for the 14th consecutive quarter, our Gaslamp Residence Inn led the way with GOP of almost $3 million. Our 2 Sunnyvale Residence Inns made the top 5 for the first time since the heavy intern summer of 2021, coming in at second and fifth respectively. And not to be outdone, our Embassy Suites Springfield, Virginia delivered GOP of $2 million in the quarter and coming in fourth despite a tough market was our Bellevue Residence Inn with GOP of $1.6 million. On the CapEx front, we spent approximately $9 million in the quarter. And importantly, so far in 2025, we've added 8 rooms to our existing portfolio, converting meeting and other spaces into more profitable guest rooms. Those rooms include 5 rooms at the Hilton Garden Inn, Portsmouth, 2 rooms at the Residence Inn White Plains in a suite at the Hampton Inn Exeter. Within these locations at any reasonable valuation we've added probably $3 million to $4 million in value to our portfolio at a fraction of the cost. Our last 2 renovations of 2025 are to commence later this year in the fourth quarter, with those being at the Residence Inn Austin and the Residence Inn Mountain View, California. With that, I'll turn it over to Jeremy.
Jeremy Bruce Wegner: Thanks, Dennis. Good morning, everyone. Our Q2 2025 hotel EBITDA was $30.9 million. Adjusted EBITDA was $28.5 million, and adjusted FFO was $0.36 per share. Our GOP margin for the quarter of 46.3% was up 30 basis points from Q2 2024 despite the flattish RevPAR environment due to continued strong expense control, moderating inflationary cost pressures and the benefit of approximately $1.3 million of workers' compensation insurance and tax refunds. In Q2, we continued our asset recycling by completing the sale of the Courtyard Houston for $23.5 million, which represents an LTM cap rate of 5.8% including $3.6 million of required capital expenditures. Our successful asset recycling over the past few years has reduced the age and improved the quality of our hotel portfolio and significantly reduced our leverage. The reduction in leverage along with the successful refinancing of our material debt maturities over the last couple of years has significantly enhanced our financial flexibility. This added flexibility gave us the confidence to announce our first ever share repurchase program in Q2, which we started utilizing in June. With leverage of 3.5x net debt to EBITDA as of June 30, we have significant capacity to pursue attractive investment opportunities, whether in the form of acquisitions or share repurchases. Turning to our Q3 and full year 2025 guidance. We expect RevPAR of minus 1.5% to plus 0.5%, adjusted EBITDA of $24.7 million to $26.8 million and adjusted FFO of $0.29 to $0.33 per share in Q3 and RevPAR growth of flat to plus 1%, adjusted EBITDA of $89 million to $93 million and adjusted FFO per share of $0.95 to $1.03 per share for the full year. This guidance assumes no further asset sales, capital markets activity, changes in floating interest rates. This concludes my portion of the call. Operator, please open the line for questions.
Operator: [Operator Instructions] The first question comes from the line of Gaurav Mehta from Alliance Global Partners.
Gaurav Mehta: I wanted to go back to your comments around asset recycling. I think in the prepared remarks, you mentioned that you're looking to sell 2 more assets in addition to 5 that have been sold. For the 2 additional hotels that you're looking to sell, are they going to be similar, lower CapEx, lower RevPAR order hotels?
Dennis M. Craven: Gaurav, this is Dennis. I think in 1 of the 2 instances, yes, it's kind of one of the older lower RevPAR assets, another one is really just an opportunistic transaction we're looking at that I think would minimize some capital requirements here in the next few years. But we're certainly just in the early phases of that process and hope to have something to talk about a little bit more on our next earnings call.
Gaurav Mehta: Okay. And then maybe in terms of deploying the capital, I think you mentioned development in Portland and then acquisitions. Can you maybe remind us the time line for development in the Portland? And then what kind of opportunities are you seeing in the acquisition market?
Dennis M. Craven: Yes. I'll start on the development side on the timing, then I'll let Jeff chime in on acquisitions. But generally speaking, it's going to be around the 21- to 24-month construction time line. We still have some work to do there with respect to just understanding soils and all that kind of good stuff. So ideally, we'd like to get started on that sometime within the next 6 months or so. But again, probably as we kind of get to the next call, we'll have a little more information on kick off and all that kind of stuff.
Jeffrey H. Fisher: And relative to acquisitions, I think it continues to be the same story for most of us. We're always looking. We're always underwriting. We're always talking to owners that we've dealt with before and/or the brokerage community. I still think there's a pretty wide kind of bid-ask scenario going on. But I think over time, that gap should lessen. In the meantime, we've got our stock buyback program. And we certainly -- as we indicated earlier, probably going to ramp that up just a little bit more given the stock price today.
Operator: [Operator Instructions] As there are no further questions, I would now hand the conference over to Jeff Fisher for his closing comments. Jeff?
Jeffrey H. Fisher: Thank you very much. Well, it was a short call there. Maybe there's a little vacation time involved. But nonetheless, we will continue on our course and look forward to talking to you for the next call. Thanks.
Operator: Thank you. Ladies and gentlemen, the conference of Chatham Lodging Trust has now concluded. Thank you for your participation. You may now disconnect your lines.